Operator: Good morning, ladies and gentlemen, and thank you for standing by. I'd like to welcome everyone to the Canaccord Community Group, Inc. Fiscal 2026 Third Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference call over to Mr. Dan Daviau. Please go ahead.
Daniel Daviau: Thank you, operator, and welcome to everyone joining today's call. As always, I'm joined by our Chief Financial Officer, Nadine Ahn. Our remarks today are complementary to the earnings release, MD&A and supplemental financials, copies of which have been made available for download on SEDAR+ and on the Investor Relations section of our website at cgf.com. Within our update, certain reported information has been adjusted to exclude significant items to provide a transparent and comparative view of our operating performance. These adjusted items are non-IFRS measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS financial measures that appear in our MD&A. And with that, let's discuss the third quarter fiscal 2026 results. Supportive monetary policy, lower interest rates and elevated fiscal spending helped lift broader markets during the third quarter, and this contributed to a continued improvement across our Wealth Management and Capital Markets businesses. Firm-wide revenue of $616 million for the 3-month period increased by 37% year-over-year and by 16% sequentially, representing our second highest quarterly revenue on record. Contributions were evenly split between our Wealth Management and Capital Markets divisions, which recorded year-over-year increases of 30% and 43%, respectively. Most notably, our third quarter financial performance benefited from an excellent environment for mining sector activity, driven by record gold prices and solid demand for industrial metals. On an adjusted basis, capital markets revenue increased by 43% year-over-year to $301 million, mostly from new issue activity. This translated into a substantial growth in corporate financing revenue across all regions, led by an exceptional quarter from our Australia operations, which accounted for almost 50% of total investment banking revenues for the 3-month period. More than 80% of this amount was linked to natural resource sector activity. Approximately 13% of investment banking revenue in our Australian operation was attributed to realized and unrealized gains on inventory positions, which are an important component of doing business in the market. We do employ a disciplined execution strategy to monetize these positions while preserving capital and continuing to meet client needs. Although we are pleased with the current and prior quarter's activity levels, I would caution against assuming these activity levels represent a normalized run rate. Certain sector-driven revenues are benefiting from unusually strong conditions that we would not expect to persist at the same levels and they are more likely to moderate in the future. Revenue growth from our Wealth Management division was driven primarily by a 32% year-over-year increase in commission and fees, along with 154% year-over-year increase in investment banking revenue, largely reflecting higher new issue activity in our Canadian and Australian businesses and bolstered by contributions from our acquisition of Wilsons Advisory, which was completed on October 1. We ended the quarter with client assets of $145 billion and new records set in each of our geographies. Excluding significant items, firm-wide pretax net income for the third fiscal quarter doubled when compared to the same period of the prior year to $81 million, which translated to diluted earnings per share of $0.36. I will note that our Australian business contributed $0.09 to the adjusted EPS in the third quarter with $0.08 coming in the Capital Markets division. As disclosed in our quarterly filings, our beneficial ownership in this business will decline beginning in the fourth fiscal quarter. We continue to advance our strategic priorities during the quarter. On November 7, we completed the sale of our U.S. wholesale market making business, allowing us to sharpen our focus on our integrated M&A and investment banking capital markets capabilities while reducing the cost base and risk profile of our U.S. capital markets operations. We also completed our acquisition of the leading renewable energy advisory firm, CRC-IB, which has enabled the formation of a new energy transformation group, deepening our commitment to the sustainability sector clients in all geographies. Finally, we completed our acquisition of Wilsons Advisory in Australia, adding meaningful scale and establishing a truly national footprint in our wealth management business in the region. Before handing things over to Nadine to discuss our financial results in more detail, I'd like to briefly highlight a few additional disclosures from our quarterly results press release. Firstly, we continue to engage with our U.S. regulators on the content and substance of a potential unified resolution of our previously disclosed regulatory enforcement matters. However, the timing of the resolution of these matters remains uncertain. Secondly, at the request of regulators, on October 17, the company issued a statement in response to media coverage speculating about a potential transaction involving our U.K. wealth management business, which has contributed to increased volatility in our stock price. The company continues to assess options for this business in the context of, among other things, the rights of its strategic and financial minority partner and that partner's investment horizon as noted in prior company disclosures, prevailing market and execution conditions and other relevant industry factors. At this time, there can be no assurance that any discussion will result in a transaction or that such transaction would occur at valuations implied by recent market and transaction activity. With that in mind, we do not intend to comment further on these matters, except as required under applicable regulatory obligations. And with that, I'll turn things over to Nadine.
Nadine Ahn: Thank you, Dan, and good morning, everyone. As Dan mentioned, we delivered exceptionally strong revenue in the quarter, which resulted in meaningful earnings growth. Firm-wide pretax net income for our third fiscal quarter rose 103% year-over-year to $81 million, bringing our fiscal year-to-date net income to $174 million, up 49% year-over-year. This translated to adjusted diluted earnings per share of $0.36, up 112% year-over-year, reflecting strong revenue growth across all businesses and lower non-compensation expenses as a percentage of revenue. We continue to focus on cost efficiency initiatives to drive firm-wide margin expansion. While certain costs increased in connection with higher revenue generation, our total expenses as a percentage of revenue declined by 4.3 percentage points compared to the same period of last year. Firm-wide non-compensation expenses, excluding significant items, decreased by $5 million or 3.2% year-over-year to $152 million, representing 25% of third quarter revenue. This decline was largely driven by lower interest, trading and general and administrative expenses. Trading, settlement and technology costs decreased by $2.5 million or 5% year-over-year to $48 million, primarily reflecting a $6.5 million reduction following the sale of the U.S. wholesale market making business, which was completed during the third fiscal quarter. This was partially offset by higher trading costs in our Australian wealth operations, driven by increased commissions and fees activity. Interest expense declined by $5.2 million or 16.8% year-over-year to $26 million, reflecting lower interest rates and the sale of the U.S. wholesale market making business. General and administrative expenses also declined by $2.5 million or 6% year-over-year due to onetime items in the prior period. Firm-wide compensation ratio on an adjusted basis for the fiscal year-to-date was 61.1%. The timing of bonus accruals as well as the impact of changes in the value of certain unvested stock-based compensation awards negatively impacted the compensation ratio in the third quarter. Turning to business unit performance. Capital Markets contributed pretax net income of $51 million, representing a 248% improvement from the same period last year. The adjusted pretax profit margin improved by 10 percentage points year-over-year to 17%, with the most notable increases in our Australian and U.S. businesses. On a consolidated basis, Capital Markets revenue increased by 43% year-over-year to $301 million. And as Dan had mentioned, the primary driver of this increase was the 170% increase in investment banking revenue. In connection with higher investment banking activities, commissions and fees revenue also increased by 42% year-over-year to $54 million, the highest level since Q4 fiscal 2021. Advisory revenue of $65 million declined by $6 million or 9% year-over-year. Our U.S. operations contributed $43 million, representing a 38% year-over-year increase, which was partially offset by declines in our Canadian and U.K. businesses, where results reflected a more challenging year-over-year comparison period due to several significant mandates completed in the prior year period. Trading revenue declined by 48% year-over-year, primarily due to the sale of the U.S. Market Making business, which was completed on November 7. Contributions from this business reflect approximately 5 weeks of activity prior to the completion of the transaction. With the sale of the U.S. Market Making business and the acquisition of CRC-IB now complete, the revenue mix, cost base and risk profile of our U.S. Capital Markets business will shift meaningfully, and we expect this will drive a sustained improvement in operating margins in this business. Turning to our Wealth Management businesses. Revenue of $304 million and adjusted pretax net income of $57 million increased by 30% and 57%, respectively. Included in these amounts are contributions from Wilsons Advisory of $16.1 million in revenue and $1.8 million in adjusted net income before tax. The key drivers of revenue growth during the quarter were a 32% year-over-year increase in commissions and fees revenue to $240 million, driven primarily by higher contributions from our Australian and Canadian operations and a 154% increase in investment banking revenue to $25 million, with 64% of that amount contributed by our Canadian operations and the remainder from Australia. While our U.K. business remained the largest contributor to pretax net income, our Canadian and Australian businesses delivered substantial increases as stronger revenue translated into improved operating leverage. Our Canadian business contributed $23 million in adjusted pretax net income, representing a 155% year-over-year increase, while Australia more than tripled its contribution to $7 million. Client assets at the end of the quarter reached a new record of $145 billion, representing a 26% year-over-year increase, driven primarily by market appreciation, acquisitions and supported by positive net flows. Measured in local currency, assets in our U.K. Wealth Management business grew 13% year-over-year to GBP 40 billion. This translated into CAD 75 billion, representing a 16% increase compared with the prior year, driven primarily by market appreciation, acquisitions and foreign exchange movements. Client assets in Canada increased 25% year-over-year to $53 billion, largely reflecting higher market values with additional contributions from recruiting. While the business experienced positive net flows during the quarter, fee-generating accounts represented a lower proportion of total client assets, reflecting the higher level of commission-based assets in connection with the increased investment banking activity in this business during the 3-month period. Assets in our Australian business also reached a new record, increasing to $17 billion from $8 billion a year ago. Approximately $6.7 billion of this increase was attributable to the acquisition of Wilsons Advisory. Strong revenue performance in the current quarter, together with our continued focus on organic and inorganic growth initiatives has strengthened profit margins across the business and positioned us well relative to our targeted single-digit growth objectives. Our 9-month year-to-date performance has exceeded this target, and we remain well positioned relative to our single-digit growth objective for the full fiscal year. Turning to the balance sheet. We maintain sufficient working capital to meet our regulatory commitments, support our strategic priorities and expanded business activity while preserving the flexibility to reallocate capital as market conditions evolve. Reflecting this confidence, our Board of Directors has approved a quarterly common share dividend of $0.085. With that, I will turn things back to Dan.
Daniel Daviau: Thank you, Nadine. We are very pleased with our third quarter performance, which was driven by elevated client activity, strong execution and improving market conditions. Looking ahead, we remain focused on executing our strategic priorities to deliver attractive returns for our shareholders. While we anticipate some moderation from the revenue levels achieved in Q3, we expect market conditions to remain broadly supportive. Commodity prices and improving conditions for small and mid-cap equity markets continue to underpin improving capital raising and advisory activities across our core capital market sectors. We continue to see strong momentum in advisory, supported by active pipelines and increasing client engagement. Regionally, we expect continued solid performance in our Canadian capital markets business and improving performance in the U.S. and U.K., partially offset by the seasonally slower summer period in Australia. In Wealth Management, we anticipate sustained growth in client assets bolstered by positive net flows. That said, the increased new issue revenue and some commission revenue remain highly market dependent, making our Canadian and Australian businesses more sensitive to market conditions. Even with the intermittent periods of volatility, broadly speaking, markets are functioning well with strong investor engagement. With that, Nadine and I would be pleased to take your questions on the quarter. Operator, you may now open the lines.
Operator: [Operator Instructions] Your first question comes from Jeff Fenwick from Cormark Securities.
Jeffrey Fenwick: I wanted to start off on Australia first in the Wealth Management area. Obviously, that Wilsons Advisory acquisition was a very complementary addition and gave you some good scale in the market. Could you speak to the opportunity to continue to find other firms like that? Is this a market that's going through consolidation similar to other markets? And how are you thinking about that going forward?
Daniel Daviau: You're going to kill my Australia team, Jeff, with questions like that. It's a big acquisition for us. And there are 3 new offices plus integrating 3 offices into our existing facilities. I think they're capped out on acquisitions for the time being, but your question isn't, hey, what about next quarter? I hope it's about long term. Long term, I think we've always said we see the opportunity in Australia similar to the opportunity we see in Canada. I guess the only difference between the 2 markets is from time to time, we'll find complementary acquisitions in Australia, which are more difficult to come by in Canada. We do have an active recruiting pipeline in Australia. We continue to recruit into that. We've got a bunch of advisers who joined us last quarter and a bunch more that are going to be joining us. And it's a similar kind of take-on program, maybe a little bit cheaper than it is in Canada to bring on advisers, but we continue to see that. So we really like the Australian wealth space and are going to continue to invest significantly into it. And I think as the business scales up, you'll see margins improve. I'd caution you a little bit on the Australian wealth business. It tends to be a little bit more transactional. Like Canada, we see a lot of new issue business flow through our wealth business. They're very complementary businesses. They're not segregable. They're one combined business, our capital markets and wealth businesses. So you may see a little bit more volatility in that business than you typically see in a wealth business. simply because as the business transitions to fee-based, we still continue to play in the new issue business. And obviously, when things are active, particularly in the resource square, you'll see an increase in commission revenue as assets flow into deals and flow out of deals. But like I said, the business continues to scale up. We've got now 400 people in our Australia wealth business. It's not a small business anymore. So it's pretty exciting, and we like it.
Jeffrey Fenwick: That's very helpful color. And then I guess, associated with this, you made reference in the release to a rights offering underway in Australia. I guess, more of the employees wanted to gain exposure to a business that's doing well down there...
Daniel Daviau: Yes I think that's right. As I've said before, Jeff, managing a business that's the antipode of Toronto, the furthest point on earth away from another point on earth. It's good to have local ownership, and it's exciting when our employees want to own more of that business, which they do. We funded the Wilsons acquisition with debt and free cash flow that we had sitting there. But with a significant chunk of debt, we want to bring down that debt as part of that. We are looking at an equity raise to employees and ourselves, although we see our ownership coming down, as I think we disclosed, we'll retain control. It's a complicated process on how you do a rights deal in Australia to employees. So what exactly our equity ownership is, we can't disclose that yet, but it will be coming down from its existing 65%.
Jeffrey Fenwick: And then maybe we'll pivot to Canada. Obviously, in the Wealth Management group there, quite a strong performance and just continuing some positive trends. But I guess the one thing maybe to take on here is just not -- really haven't seen much in the way of actual adviser team growth over the last couple of years. And you've spoken to the desire to recruit. And I think there's been some recruiting, but it's often gain one, lose one. What's the challenge there? Are you happy with the footprint today? Is there a reason why it's a little difficult to roll in teams? Is it maybe just the nature of the profile of the offering versus maybe other platforms they could be on in the market? Or just any color there you could offer?
Daniel Daviau: Fair questions. I mean, we do continue to recruit teams, although the pipeline goes up and down in terms of the level of activity. Generally speaking, you don't see growth because we're recruiting a bigger adviser and cycling out a smaller adviser or a smaller adviser retires or what have you. So the average book per adviser continues to grow significantly, and it's at a record, Nadine, it's currently...
Nadine Ahn: $369 million.
Daniel Daviau: $370 million. So -- and that number is at all-time records. So our average advisory teams are up. You also see we disclose teams. So sometimes 2 advisers will combine into 1 team. So that activity is going on, and that's an activity we strongly encourage. So we probably should disclose a number of advisers, too, to be honest, Jeff, because I think it will give you a better transparency on that. But yes, we're in the market of continuing to bring over great new partners into our franchise. We brought over a couple of last quarter. We continue to have a good pipeline. We're in that business, and we continue to be in that business. So no real color. We're very excited by our Canadian wealth business and its pace of activity and its recruiting pace, but it takes time to bring people over.
Jeffrey Fenwick: Fair enough. And maybe one last one here, just on the announced acquisition of the environmental focused or energy transition focused boutique in the quarter. I mean, just given the tone and the actions of the current U.S. administration, doesn't exactly feel like a growth area right now. So maybe just give us a sense of what you see there, where the opportunity lies longer term and why you choose to make that acquisition.
Daniel Daviau: Yes. So CRC, we had an option to acquire them for a period of time in a completely different environment. They significantly performed over what we had expected. So we certainly exercised our option. We're very cognizant of the tax and other changes in the U.S. It's a business -- the -- how you define sustainability and how you define energy transition, I mean that's going to go on no matter what. Is it tax-driven financing activity? Or is it fundamental M&A activity? That business kind of evolves. And just like your own M&A business at your firm or anywhere else, you kind of go where the market is active. And this is a team -- a young team, a phenomenal team of partners. that have really shown a remarkable ability to transition their business, and we see that in their existing business. So we're very confident in their ability to keep on delivering at or better than they've delivered in the past. So it's certainly an exciting opportunity. And again, even if some of the tax-driven financing disappears, we see their M&A business significantly increasing. So I mean, energy needs aren't going to disappear. And how you facilitate those energy needs, particularly in the U.S. will be important. Add to that the fact that we'll have an equity business that flows through -- flows from that advisory practice that they have and stapling on the international capabilities. So as we've always said, we're going to grow in core sectors where we think we've got a unique global advantage, and this is one of the sectors where we think between our U.K., Canadian and Australian practice that we can really outperform. And so we're excited by it.
Operator: And your next question comes from Rob Goff from Ventum Capital.
Rob Goff: Congrats on the quarter. I hope there's no need for caution on continued momentum in the markets out there.
Daniel Daviau: You haven't been doing this business long enough, Rob, if you don't think there's caution on continued momentum.
Rob Goff: I'm still a newbie.
Daniel Daviau: Yes. No, you're not.
Rob Goff: I can pretend. In terms of the wealth advisers when you're out recruiting like from the banks, risk tolerances and such are key considerations. How are you finding the flow of either advisers or assets from Canadian banks over to your wealth arm?
Daniel Daviau: Yes. Like I mentioned a little bit with Jeff. I mean, the pipeline ebbs and flows. Sometimes it's massive, and we're talking to literally a new team every week. And sometimes it's a little lighter. Arguably right now, maybe it's a little lighter. That being said, I'll have a meeting tomorrow and I'll decide, it's very active again. But it's fundamentally part of our strategy. It's not -- it doesn't happen by accident. It happens because we've got a whole recruiting momentum here. So I don't think much has really changed. The cost of acquisition hasn't changed. The pace of acquisition hasn't changed. I think it's just going to be more of the same. Certain quarters will be bigger and certain quarters will be smaller. That's probably the best way I'd frame it. Is that your question? Or is it something deeper than that?
Rob Goff: I'm not that deep.
Daniel Daviau: Yes, you are.
Operator: And your last question comes from Graham Ryding from TD Securities.
Graham Ryding: If I could touch on the U.S. regulatory review, I'm sure it's your favorite topic...
Daniel Daviau: Yes...
Graham Ryding: The commentary seemed to change slightly from last quarter where you suggested expectation of a resolution in the coming months. It seems like you're describing it now as remaining -- continue to remain uncertain. Am I reading too much into this? Or is the progress on this front slowed somewhat?
Daniel Daviau: Yes. It depends on what data you get us. The -- no, I don't think the progress has slowed. I think it's taken longer than I would have expected. I think you're right that our commentary in the last couple of quarters would have suggested that at any point in time, we'd be kind of done and over with. I think we're comfortable with the financial provisions we put in. I don't think -- if we weren't comfortable with them, you would have seen a change to that. Those are estimates, obviously. We didn't make a change to our financial provisions. I think the difficult part is coming to -- I think we used the term, terms and form or form and terms of the regulatory settlement. It's just coming up with the right words and you've had multiple government shutdowns and you've got three regulators that we're dealing with. So I'm still optimistic about getting to a resolution. There's -- the alternative isn't very attractive. So hopefully, over the -- I would have said this last quarter, hopefully, over the next quarter, we'll get it solved, but you could have heard me say the same thing over the last couple of quarters, too.
Graham Ryding: Yes. Okay. Fair. There was a deal recently in the U.K. on the wealth side with NatWest and Evelyn Partners. Would you consider Evelyn a decent comparable for your U.K. business? Any reason why we should not be viewing that deal as a read-through into your U.K. business?
Daniel Daviau: It didn't I say I'm not going to talk about the U.K. -- yes, I won't talk about our U.K. business. But yes, the Evelyn transaction, I mean, Evelyn was a bigger firm than ours, arguably, probably double our size, probably a little bit more mature and probably had better organic growth than we had. And probably a slightly stronger influence on planning than -- although we have that, they were probably a little bit more mature from that perspective. So it fit better in with a strategic buyer like a bank. That doesn't mean that ours wouldn't. So you asked, is it comparable? Sure, it's comparable. If you're asking me, hey, would you apply that multiple to your business? That's something I'm not going to comment on, but -- because I think that's what you really were asking. But -- so I won't get into that. But yes, it's not a completely dissimilar business, if that's your question.
Graham Ryding: Yes, that's helpful. On the U.K. wealth side, it looked like your pretax earnings were a bit lower than what we were looking for and sort of moved sideways a little bit over the last sort of year relative to your AUA growth. So I think the margins come down a bit this quarter. Any commentary on just the pretax earnings and the margin profile of that business?
Nadine Ahn: Yes, I'll take that. You're correct. We did note that our pretax margin is down by about 2 points or 3 percentage points. Primarily, that was driven -- we are running a bit of a higher cost base. You'll recall, we had a number of acquisitions closing just towards the tail end of the year as we're working through the integration of those, which resulted in a bit higher in terms of our pro fees, legal fees, et cetera. So we're running a bit higher on that basis. So we would have seen our expenses increase relative to what you would have seen on the revenue growth. We obviously benefited on an AUA standpoint from the market growth, and we're continuing to see positive net flows in that business, but the expense creep up is really what drove the shrinkage in margin, but we expect that to pivot as we get through some of that cost base.
Graham Ryding: Understood. And you flagged that on the net flow side that there was some intentional outflows due to acquisitions. Have those slowed or stopped? Or are those continuing to come through?
Nadine Ahn: Yes. We referenced there would have been one exceptional outflow that we had been signaled to us quite early on that would have come out in the quarter. So outside of that, we are seeing to see positive net flows in the low single digits.
Graham Ryding: Okay. Great. And my last one, if I could. Just on the Australian ownership piece, I appreciate that you can't put a pin on what your stake is going to move down to. But will you maintain more than 50% ownership in that Australian business after this rights offering?
Daniel Daviau: Yes. yes, we'll retain control, more than 50% ownership.
Graham Ryding: Okay. That's it for me. Thank you.
Daniel Daviau: Sorry, I wish we could be more precise, but it's just impossible at this stage.
Operator: And there are no further questions at this time. Mr. Dan Daviau, you may continue.
Daniel Daviau: Okay. Well, thank you all for joining us today. And again, our apologies for reporting on Friday, February 13, on the afternoon. We just had some real scheduling problems with our Board this time around. So I appreciate you all being on the call this morning. And hopefully, we didn't broke good long weekend. Appreciate your continued support, as always, and Nadine and I are certainly available for further questions on the quarter as needed. So with that, operator, if you can close the lines. Thank you very much.
Operator: Ladies and gentlemen, this does conclude your conference call for today. We thank you very much for your participation. You may now disconnect. Have a great day.